Operator: Ladies and gentlemen, thank you for standing by, and welcome to The Babcock & Wilcox Company Second Quarter 2011 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the company’s prepared remarks, we will conduct a question-and-answer session, and instructions will be given at that time. I would now like to turn the call over to our host, Mr. Michael Dickerson, B&W’s Vice President and Investor Relations Officer. Please go ahead, sir.
Michael Dickerson: Thank you, Kim, and good morning, everyone. Welcome to The Babcock & Wilcox Company’s second quarter 2011 earnings conference call. I’m Mike Dickerson, Vice President and Investor Relations Officer at B&W. Joining me this morning are Brandon Bethards, B&W’s President and Chief Executive Officer; Mary Pat Salomone, Chief Operating Officer; Mike Taff, Chief Financial Officer and James Canafax, our General Counsel. Many of you have already seen a copy of our press release issued last night. For those of you that have not, it is available on First Call and on our website, at babcock.com. During this call, certain statements we make will be forward-looking. I want to call your attention to our Safe Harbor provision for forward-looking statements that can be found at the end of our press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the content of our forward-looking statements. Our Annual Report on Form 10-K, and quarterly reports on Form 10-Q on file with the SEC, provide further detail about the risk factors related to our business. Additionally I want to remind you that except as required by law, B&W undertakes no obligation to update our forward looking statements to reflect events or circumstances that may arise after the date of this call. Also on today’s call the company will provide non-GAAP information regarding certain of its historical results. To supplement the results provided in accordance with GAAP and it should not be considered superior to or a substitute for the comparable GAAP measures. B&W believes the non-GAAP measures provide meaningful insight into the company’s operational performance and provides these measures to investors to help facilitate comparisons of operating results with prior periods and assist them in understanding B&W’s ongoing operations. A reconciliation of these non-GAAP measures can be found in a second-quarter earnings release issued last night and in our company overview presentation posted on the Investor Relations section of our website at babcock.com. The format for today’s call, we will begin with remarks by Brandon about the status of charges reported, safety and current business conditions. Second, Mary Pat will take you through the performance of each of our business segments, followed by Mike who will provide some additional financial details about the quarter. Finally, Brandon will conclude with some comments about the status of our major initiatives, followed by a question-and-answer period. Due to the number of participants on today’s call, I would ask that you limit yourself to one question and perhaps one follow-up. You are; of course, welcomed to get back in the queue. With that, I will now turn the call over to Brandon.
Brandon Bethards: Thank you, Mike and good morning everyone. Let me begin by highlighting the strong results in a few of our business lines which allowed us to report better than expected results while simultaneously absorbing an additional charge related to the Nuclear Energy Project we highlighted in the first quarter. Operating income in both our Nuclear Operations and Technical Services segments are near record levels for the second quarter, as a result of improving productivity and manufacturing and the addition of several new MNO contracts over the last few quarters. On another positive note I am pleased to report to you that the processing and the material that resulted in the majority of the first quarter charge at NFS or Nuclear Fuel Services has been completed without any material change to the revised cost estimate. Also I’m pleased to report that the company successfully negotiated a settlement related to the acquisition of NFS resulting in an increase in operating income and cash during the second quarter of 2011 of approximately $10.9 million. I should point out that even without the favorable adjustment, the NFS was accretive to the company’s operating income based on its strong operating performance in the quarter. On a less positive note, you may recall from the first quarter, the company recorded a loss on a certain nuclear energy project. In our last conference call, we indicated confidence that we had a handle on the cost to complete and the issue was contained to the first quarter. That obviously did not happen. It is unfortunate that certain unknown and undisclosed conditions at this site required the company to take extensive measures beyond the original scope of work to complete the project. Additionally as this project shifted from the demolition phase to the reconstruction phase later in the second quarter, the company encountered a series of unexpected conditions resulting in its schedule extension leading to incremental estimated cost to complete. As of today, the remaining scope of work to be completed on this project is the final structure welding, which is proceeding according to plan. From an accounting perspective, second quarter operating results included an additional charge of $26 million representing the gross estimated incremental cost to complete. There have been no offsetting claims or equitable adjustments included in the results for the second quarter. However, let me assure you with claims and equitable adjustments that are currently in process are significant in value and maybe realized over time. The company intends to recover all other costs which we are contractually entitled. Finally, the company has thoroughly reviewed its backlog and determined that there are no other nuclear projects of this nature on a fixed price basis. Moving on from these items, I am pleased to again report a positive year-over-year increase in consolidated revenues for the third quarter in a row, that growth was again evident in all four of our reported business segments in the second quarter of 2011. On a consolidated basis, revenues were $752.4 million, an increase was $63.9 million or 9.3%. Consolidated operating income was $63.3 million before the impact of the $15.1 million of net charges in the second quarter operating income was $78.4 million, a decrease was $7.3 million from the second quarter of 2010. The decrease in operating income before items was primarily due to the reduction in the volume of new build power generation and environmental projects as well as the close out of certain power generation segment projects in the second quarter of 2010, which had the effect of improving operating results in that prior quarter. The decrease was partially offset by the improvement in performance and production at NFS. The increase in production of nuclear components with submarine and aircraft carriers program and fees earned from new MNO contracts. Also, with the recent ramp up in the spending for mPower initiative, the company spent $4.8 million more for research development and associated SG&A related to mPower in the second quarter of 2011 compared to the second quarter of 2010. Normally, I would begin myNormally, I would begin my comments with an update on our safety performance. However, I wanted to address the second quarter charge upfront in our dialogue. Now, turning our attention back to safety, safety as you may now is one of the key metrics we use to measure our performance. Coming off of a strong 2010 year-over-year improvement in safety metrics, we continued that trend in the first-half of 2011. Continuous improvement of our safety performance is an important part of the culture at B&W. For the first-half of 2011, the company is reporting safety metrics better than prior year levels and better than the 2011 total year targets. The results of such favorable performance as a worker’s comp rate is approximately 40% below the average industrial worker’s comp rates generating real returns to the bottom line. On the marketing front, one of the most significant recent events affecting our industry relates to the environmental protection agency release of new regulations. On July 7, 2011, the EPA released its final rules for cross-state air pollution, previously known as the clean-air transport rules, with a compliance period beginning January 1, 2012. Additionally, the comment period for the draft mercury and air-toxic rules are the utility maximum achievable control technology standards, recently ended on August 4, 2011. Finally, under the court order, the EPA has a deadline of November 16th of this year to finalize the utility MACT rules. EPA rules and regulations continue to move forward and are expected to result in a significant market for environmental compliance through engineering, procurement, and construction of equipment over the next several years. With the drafting and passage of these regulations we have seen the pace of customer inquiries and bidding activity intensify as utilities plan for their capital requirements that will drive their compliance. We have recently announced two contracts for design and supply of emissions control systems and we have been awarded several small environmental engineering and design contracts. We expect to continue to see projects awarded through the balance of this year and into and throughout 2012. The company is actively bidding on a number of environmental projects with a total value of more than $1.6 billion, and we expect to become active in the bidding process on an additional $1 billion of environmental projects through the balance of this year. Now, let me introduce Mary Pat Salomone, our Senior Vice President and Chief Operating Officer. Some of you had the opportunity to meet with her this summer and for those who will be joining us at our upcoming Analyst Day in New York on September 15th you will get a chance to meet her as well as other members of our management team. With that, let me now turn the call over to Ms. Salomone, who will take you through the results of each of our business segments. Mary Pat?
Mary Salomone: Thanks Brandon. I would like to walk you through the results for each of our reported business segments. Nuclear operations segment revenues of $272.6 million, increased $25.7 million or 10.4% in the second quarter of 2011 compared to the second quarter of 2010. This increase is principally the result of an increase in activity we’re enabling to the reactor components and nuclear fuel. Operating income of $59.3 million increased $18.6 million or 45.7% in the second quarter of 2011, compared to the second quarter of 2010. The operating income results were driven by strong productivity and project execution improvement on the production of nuclear reactor components, improvements in productivity and production of nuclear fuel as well as $10.9 million related to the favorable settlement of miscellaneous open acquisition related issue at NFS. Backlog in nuclear operations declined slightly from the first quarter as expected. However it still represents close to three years of revenues. Recall that this segment typically booked the majority of its annual awards in the fourth quarter of the year, as it is highly correlated to the annual budget cycle of the U.S. government. Revenues in the power generation segment of $388.6 million for the second quarter of 2011 increased $19.3 million or 5.2% compared to the $369.3 million reported in the second quarter of 2010. This result was principally due to increased North American construction activity more than offsetting a continuing decline in new build environmental and power generation systems. Operating income in the Power Generation segment including the equity income of the B&W’s portion of its global joint ventures was $28.1 million in the second quarter of 2011, an increase of $1.5 million or 5.6% compared to the first quarter of 2011, and a decrease of $14 million from the second quarter of 2010. The year-over-year decrease in operating income was primarily due to the reduction in the volume of new build Power Generation and Environmental projects as well as the closeout of certain Power Generation segment projects in the second quarter of 2010, which had the effect of improving the operating results in that prior quarter. Backlog in the Power Generation segment is down modestly for the first quarter of this year. I would point out, however, that in the second quarter, we were awarded $900 million contract for the engineering, construction and operation of a new West Palm Beach waste to energy plant, because of our conservative method of reporting backlog, most of the roughly $450 million of B&W projects scope is not yet reflected in our published backlog. We expect to include this project in backlog in the first half of 2012, when we receive our final notice to proceed. We have recently announced two contracts for the design and supply of a Emissions Control System and we have been awarded several small environmental engineering and design contracts. We expect to continue to see additional environmental projects awarded though the balance of the year and into 2012. Marking the beginning of what we believe will be a several year growth cycle for environmental projects. As Brandon mentioned earlier environmental projects that we are actively bidding now and expect to initiate the bidding process during the balance of this year totaled approximately $2.6 billion. Nuclear energy segment revenues of $93.9 million increased $36.2 million or 62.6% in the second quarter of 2011 compared to the second quarter of 2010. The increase in revenues is due principally to the success achieved supplying nuclear components and volume associated with nuclear project contracts. Operating loss of $33.3 million in the second quarter includes both the $26 million increase in the cost to complete estimate for a nuclear energy project as well as $16.9 million of research and development and selling, general and administrative expenses related to the B&W and power modular nuclear reactor program. The underlying historical businesses are gaining profitable momentum as the company continues to be in an important supplier of large nuclear components and is increasingly competitive in the U.S. nuclear services industry. As an example, the company recently completed an outage service at a major nuclear provider in the U.S. completing this service in less time and with significantly less radiation dosage than had ever been experienced at this site. The industry is aware of this performance, and it has resulted in additional interest in B&W’s nuclear service and technology. Backlog is roughly flat compared to the first quarter of 2011. However, it is up more than 42% from the second quarter of 2010 principally due to success in the new U.S. Nuclear Services industry over the last two quarters in particular. Technical Services segment revenues of $30.7 million increased $9.8 million or 46.9% in the second quarter of 2011 compared to the second quarter of 2010. Operating income of $14.5 million, increased $1.9 million or 15.1% in the second quarter of 2011 compared to the second quarter of 2010. This increase in operating income is due principally to new environmental remediation, decontamination, and decommissioning contracts received in the second-half of 2010 and the first-half of 2011 principally for the Department of Energy. The Technical Services segment generally does not report a backlog because most of its contracts are through unconsolidated joint ventures. It is important to recognize that this business has continued to grow over the last few years. And its growth has accelerated meaningfully over the last year. In the last 12 months, the Technical Services segment has partnered on approximately $3.6 billion in new awards for work to be completed over the next 5 to 10 years. The largest of these new contract awards was the $2.1 billion Department of Energy decontamination and decommissioning contracts were the Portsmouth Gaseous Diffusion Plant in Ohio, which began operation which began operation early in the second quarter of 2011 and is expected to ramp up the full-scale operations over the next several quarters. Let me now turn the call over to Mike, who will provide some additional financial details.
Michael Taff: Thanks Mary Pat, for that update. During the second-quarter the company generated cash flow from operating activities of $29.9 million, including the impact of pension funding of $30.7 million. For the full year the company expects to contribute approximately $125 million to the pension. The company’s cash and investment position, net of debt was $368.7 million, at the end of the second quarter of 2011 compared to $375.3 million at the end of the first quarter of this year. In addition to net cash, the company maintains $700 million revolving credit agreement with approximately $506 million of availability as of the end of the second quarter. The company continues to maintain adequate liquidity to fund operations which could increase working capital requirements, internal growth and R&D programs as well as additional product and geographic expansion opportunity. Consolidated research and development expenses were $22.6 million in the second-quarter an increase of $6.4 million compared to the $16.2 million in the second quarter of 2010. This increase was principally a result of an increase in spending related to the company’s mPower initiative. For the full-year the company expects R&D expenses will continue to increase related to the acceleration in the mPower program resulting in consolidated R&D expense of approximately $90 million to $100 million for all of 2011. Looking at selling, general and administrative expenses, year-to-date consolidated SG&A expenses of $199.7 over $5.1 million above the first six months period of 2010. The company has been focused on managing SG&A expenses across the board, particularly in those areas where the business is hit hardest by the recession. On the other hand, we have not been afraid to make the investments that we believe are necessary to position the company for growth and are there. I would point out that included in year-to-date SG&A expenses were approximately $13.9 million of incremental stand alone public company cost related to the spin-off of B&W from McDermott International, and $4 million related to our reentry into the U.S. nuclear services industry and our mPower initiative as well as some incremental spending related to bidding and proposal efforts. Capital expenditures in the second quarter of 2011 were $11.4 million lower than our depreciation and amortization rate due impart to the timing of expenditures. For the full year, we expect total capital expenditures to be in line with depreciation and amortization in the range of approximately $65 million to $75 million. Let me now turn the call back over to Brandon for some final remarks.
Brandon Bethards: Thank you, Mike. We talked earlier about the recent developments in the environmental regulation, so let me update you on the status of some of the other significant programs at B&W. As it relates to our M&O contracts of Y-12 and Pantex the National Nuclear Security Administration recently issued a draft request for proposal with final RFP expected in November, 2011. The draft RFP calls for a five-year base term beginning January 2013, with up to five additional years of extension and includes the management and operations of both Y-12 and Pantex. The RFP is focused on achieving cost savings for the NMSA as a result of combining the two operations and contemplates increasing the scope of operations to include the management of the new proposed UPF facility at Y-12 as well as the Savannah River tritium operations. We are currently evaluating the RFP with our partners. We believe that given our outstanding performance at these operations as well as the significant savings that we’ve been able to generate for NMSA over the last several years, that we are well positioned to competitively respond to this combined RFP. Also, as many of you know, the proposed fiscal 2012 budget put forth by the administration includes ongoing and incremental funding for various energy initiatives, specifically, within the DOE budget proposal is $97 million for a new small marginal nuclear reactor program to assist the industry with design, certification, licensing, and research cost. The new program is comprised of $30 million for reactor concepts R&D and $67 million for cost sharing technology development and licensing of two near-term deployable SMRs. Our understanding is that these funds are intended to be awarded to two SMR vendors on a cost share program. Most importantly, this program is intended to continue for five years with the stated commitment of government participation through the first commercial deployment rather than a onetime funding event. Recently, the President of B&W and Nuclear Energy testified before Congress along with other industry participants with respect to this program. We believe that B&W is well positioned to being a leading partner for this DOE program. While we are talking about nuclear power, let me give you a brief update on what we know about the Nuclear Regulatory Commission investigation of the event of at Fukushima. As you may know the NRC Task Force concluded that the 104 operating nuclear reactors in the U.S. are safe for continued operation. At the same time it recommended changes in the NRC’s regulatory framework. The commission’s disposition of the Task Force’s recommendation is expected in the next several months, will determine the extent of new requirements and the commensurate cost burden to the industry. Although we will continue to monitor post Fukushima regulatory and industrial developments based on current information, we expect to continue without current licensing schedule for the B&M mPower reactor. Our expansion in India continues as planned, we’ve recently broke down on our new ultra supercritical manufacturing facility, licenses and approvals are in place and the company is beginning to actively pursue sales opportunities in the region. Our plan is to support our Indian venture with B&W’s resources during the period until our facility is completed sometime in late 2012. We have also recently signed a memorandum understanding with Toshiba to cooperatively explore strategic manufacturing research and other opportunities in advance supercritical power generation and advanced solar energy technologies around the world around the world including India. We will explore collaboration on project opportunities in India, making use of Toshiba’s stream turbine and generation manufacturing facilities along with BMW’s boiler factory which both are under construction at this time. As it relates to our USEC investment, at the end of June we and Toshiba effectively extended the firm date for conditional loan approval until August 15th in order to allow more time for USEC to complete their negotiations for a $2 billion loan guarantee with the Department of Energy in order to fund the American Centrifuge Project. As of today, we are aware that the conditional loan approval has not been received. According to USEC’s releases from last week, DOE indicated that USEC needs additional financial and project execution depth to achieve a manageable credit subsidy rate and to proceed with a loan guarantee. We are continuing to work with USEC to help them satisfy the DOE concerns. USEC indicated that they expected this process to be measured in weeks, not months. More importantly, I would be much concerned with the project if the DOE is concerns were technical in nature rather than financial or structural. Ultimately, we believe that solutions will be found to address these concerns and the project will move forward. Lastly, our mPower modular reactor initiatives continues to accelerate while interest in BMW mPower as a scalable, carbon free, price competitive power generation solution for utility customers also continues to grow. During the quarter, Generation mPower LLC and TVA executed a letter of intent for the deployment of the BMW mPower technology at the TVA Clinch River site. Recently the company has been assisting TVA through a small services contract in the planning phase for a potential construction permit application. TVA is expected to submit the application in the third quarter of 2012, which we expect will be the first ever construction permit application for a small modular reactor program submitted to the NRC. We are in active discussion with TVA at this time to finalize the contract to complete the preparation of this construction permit application and hope to be able to report this small but important award shortly. As planned, we have accelerated our mPower R&D and market development program. Spending on R&D for mPower was $15.5 million in the second quarter, up from $13.8 million in the first quarter of 2011. The acceleration will continue through the balance of the year and could reach $20 million to $25 million in each of the next two quarters. So to summarize things in a compact nature, let me say that our underlying businesses are performing well, particularly our two government related segments. While reentry into the nuclear service market in the U.S. is gaining traction with our nuclear customers, environmental regulation continues to move ahead with the normal political wrangling that always surrounds the environmental regulation. But most importantly the amount of projects that are hitting the street confirms our previous view that backlog from this market should begin to build late in the year. That concludes our prepared remarks. I will now turn the call back over to the operator who will assist us in taking your questions. Kim?
Operator: (Operator Instructions). Your first question comes from the line of Joe Ritchie with Goldman Sachs. Please proceed.
Joe Ritchie – Goldman Sachs: Hi, good morning, everyone.
Brandon Bethards: Good morning, Joe.
Michael Taff: Good morning.
Joe Ritchie – Goldman Sachs: I guess first on the nuclear energy project. Can you tell us a little bit about the – where you are from the percentage completion standpoint? I know that you’re expecting to get that project done next quarter, but help us understand on how confident you are that you’ve adequately reserved for that project?
Brandon Bethards: Yes, I’d be glad to. When we did our call at the end of the first quarter, we were approximately 29% complete based on the current EAC with the rebase lining of the project that we did last month and where we were through the end of the business day, yesterday, we are roughly 81% to 82% complete. What that means to me? Is that we have a very good visibility through the final goal line on this project. We’ve transitioned all the way through the demolition and decontamination phase of the project. We’re into – well into the structural welding that has to be completed. The fit up difficulties that we were experiencing last month are behind us with regard to the customer supplied materials and most of the unknown risk that existed three months ago have been identified and provision for. And our cost complete based over the final spend has about 10% contingency on it as of this day.
Michael Taff: Hi, Joe. This is Mike. Just to clarify when we say we’re going to finish that project next quarter, we mean the quarter we’re currently in and we really mean this month. So we expect to have substantially completed this project by the end of this month, which is the August.
Brandon Bethards: That’s correct.
Joe Ritchie – Goldman Sachs: Okay, great, that’s very helpful. And I guess one follow-up question is really relating to the intensifying bidding activity that you’re seeing on the environmental work. Can you help us understand, it seems like you are bidding on a lot of work even before the MACT rules are finalized later this year. Can you help us understand a little bit on the timing and when you could potentially see some of these awards be put into backlog?
Brandon Bethards: Sure. The – I think the way to look at that is look at that is look at the cash our rule basically when that was released in its final state it affected more or less 23 states in the Eastern and Central Part of the U.S. That rule basically requires SO2 to be reduced from 4 million tons per year to about 2.1 million by 2014, the states primarily affected are Ohio, Pennsylvania, Indiana, and Texas, and these are all areas where we have strong customer relations and strong execution performance track record. So that part of it and itself kicked off a significant amount of activity and the court order to continue the utility Mac final publication is all driving the compliance activities that we see today. But with regard to the actual closing of the specific projects, that is often a volatile process and the sense that the timing on these items can move back and forth and usually back in two or three months increments at a time, but nonetheless it’s significant and this is a big progression from where we were just 90 days ago.
Joe Ritchie – Goldman Sachs: Okay, thanks for the color Brandon and I’ll get back in queue.
Operator: Your next question comes from the line of Andy Kaplowitz of Barclays Capital. Please proceed.
Andy Kaplowitz – Barclays Capital: Good morning everyone.
Michael Taff: Good morning.
Mary Salomone: Good morning, Andy.
Andy Kaplowitz – Barclays Capital: Brandon, your nuclear operations business has shown for a while now including in the quarter and I think you’ve ramped now on the two verge in the class subs fully a year, so the question is can you still show growth from here and where is it coming from?
Brandon Bethards: Good question, Andy. I would think that basically the answer is in the past quarter, if we can sustain the levels that we showed in the last quarter, we will actually growth for year. And also as we continue to put some of the operational challenges behind us at NFS that should start to play a more solid foundation particularly in the navy fuel portion of that business.
Andy Kaplowitz – Barclays Capital: Okay. And Brandon maybe you alluded with NFS, but your margins kind of spiked in the quarter in nuclear ops almost 18% extra gain, I know it’s a very variable business, is this just variability, is there more productivity now that you’re seeing this business so maybe the overall margin run rate is a little better going forward. Can you please address that?
Brandon Bethards: I think we’d be better serve to kind of think I would in the nominal range, we’ve seen in a historical basis going forward. There is some variability due to the work mix flow within a given quarter, depending on what we’re working on it anyone time. And some of that comes from the just improved operations that I mentioned that at NFS. Would you anything to that Mary Pat?
Mary Salomone: No I would agree with that Brandon.
Michael Taff: And Andy, it’s Mike. I would say 18% is kind of the high end of that range I have always thought of that business in the 16% to 18% range. And again, it has some flows, but that’s certainly not out of the ballpark let’s say of 18%, but I was kind of thinking that 16% to 18%, 15% to 18% range to that business.
Andy Kaplowitz – Barclays Capital: Okay, that’s helpful. I’ll get back in queue.
Operator: Your next question comes from the line of Tahira Afzal with KeyBanc. Please proceed.
Tahira Afzal – KeyBanc: Congratulations on a much better quarter, gentlemen.
Brandon Bethards: Thank you.
Mary Salomone: Thank you, Tahira.
Tahira Afzal – KeyBanc: My first question is in regards to the environmental work. If I look at what you’ve booked at the end of June which is the RM shape of power plants in Indiana and that seems to be replacement works, it seems that there were 1980 – scrubbers that were installed in 1983 and 1986, 90% sulfur removal capacity. So, are you seeing apart from obviously the power plants that will need new equipment, are you also seeing in your bidding activity a lot of replacement activity coming up and is that catching you by surprise in terms of extent?
Michael Dickerson: It’s both new bailed and replacements and it’s also there is a third component that we’re seeing quite a bit of activity and that is just the refurbishment and performance upgrade within the existing scrubber structure that’s while it’s not the high in volume, it’s a very important part of the opportunity because it’s often a highest margin business. So, that’s been moving along quite well. But with regard to the timing on this, Tahira, we’ve been consistent from a year ago saying that this is a second-half 2011 event with regard to the crossover where we’d start to hope to see some bookings that would exceed the backlog roll off of the last booking or the last cycle of this particular market.
Tahira Afzal – KeyBanc: Yes. And it seems like all the utilities reported second quarter seems to be sort of a dream what you have it. My second question also is sort of a follow-up on that and then I’ll hop back into the queue. If you’re looking at some of the congressional noise that’s being made around the EPA and I the Exelon came out and said they expect that noise to really not carry much weight, and if you really look at the regulations, EPA on a mandatory level has only allowed that one can only give a one year extension. Do you get a sense from all the large utilities as you talk to them that even though they might be making a lot of noise and even if EPA has the ability to look at things on a case by case basis, that at this point the potential delays are not going to be really enough to really push out the bidding cycle really here to a great extent?
Michael Dickerson: Well, the short answer to that observation is I think is yes. I don’t think it will push it out significantly. Remember that this was sort of the normal posturing that goes on around the deployment of new EPA regulations, and in fact, with regard to some of our regulated utilities, this capital investment actually is a business opportunity with regard to return on their invested equity. We maintain an update on a regular basis bottoms-up when a service estimate from our capture group in the environmental group along with the top-down estimate, and we just completed the update last month and we are still – it’s still in that area of around $25 million down to a low – or $25 billion down to a low of $13 billion from the top-down analysis. And the high-end from the top-down lines up with our bottom-up estimates. So our analysis or our view of this market is pretty much the same today as it was a year ago when we first started talking about it.
Tahira Afzal – KeyBanc: Many thanks.
Operator: Your next question comes from the line of Will Gabrielski with Gleacher. Please proceed.
Will Gabrielski – Gleacher: Thanks. Good morning.
Michael Taff: Hi Will, good morning.
Will Gabrielski – Gleacher: The color you gave on the bids outstanding and the bids that you expect to come in for the rest of the year, I guess, on the environmental side was helpful. What’s the breakdown of that would you say by product side versus your initial expectations?
Michael Taff: Well, if we get very granular in that, our basic consensus is that we think that from a megawatt perspective, that there is going to be a midpoint of probably around 45,000 megawatts of either a wet or dry FGD. The near-term SCR market looks like it’s going to – it has a much lot lighter volatility where we would believe that to be somewhere in the higher end of the top-down, our bottom-up forecast pushes that almost 2 times what you see in the general publications. Dry sorbent injection is lower from our analysis than the external reports that you see. And the reason being as the utilities have released a lot of information publicly about the fact that they need margin in their systems for the day-to-day operation fluctuations they encounter, and that’s challenging to achieve under the current regs with dry sorbent injection only. So that plus fabric filter and we operate in all of these environmental product areas as well as provide integrated solutions, I think positions us well to be a preferred supplier to this particular industry.
Will Gabrielski – Gleacher: Okay. So I think you press release to environmental awards over the past few months, and if you did a dollars per kilowatt, it’s lower than the estimates you have in your slide show for what the total average cost would be on a KW basis? And I know part of that because it does include the construction piece. So is there something unique about what’s happening bidding wise right now, are people bidding the equipments sooner than the construction versus past cycles where they may have bided all together or there is anything to read into that type of activity.
Mary Salomone: I think it’s too early to read anything into that. I mean we saw that same type of behavior early in the last cycle. The other thing that those numbers exclude beyond construction is also the balance of plant work. That’s just the core equipment supply, which is often the lead time – the long lead time pull in the project, once that’s set, then the balance of the plant design work can proceed and that’s often followed by a construction award. But I still believe that we’ll see a measurable amount of this market go on a more integrated solutions basis.
Brandon Bethards: Well, the other thing – I wouldn’t read too much into that. When you think about margins and I think that’s what the important thing about us is that – one we will maintain our discipline and the margin we’re getting in these – new awards is consistent with the margins that we saw when we’re bidding back and kind of I’d say the last phase of the last round of the environmental project. So, we’re still getting good margins and we still have adequate contingency in these bids as well. So, from that standpoint, I feel good about the backlog we’re earning – and I still consider the quality backlog and that’s really what’s important for us.
Will Gabrielski – Gleacher: Okay. Brandon then just lastly, I’m curious I don’t if this is a fair question, but on pension expenses, there is a lot moving parts in the market right now that go into your assumptions next year. But, I know Mike is busy, trying to get out of there as quickly as possible. But, I think he has to do is one time. So, what do you expect or anticipate pension may be looking like next year versus this year and given that such significant component of what you generate each quarter?
Brandon Bethards: Great question, well. If you would ask me that question three days ago, I’d have said – we’d expected to be about in line with our expense this year. After the craziness in the market in the last two days, I’m going to leave that to – you’re really a smart guys in New York to figure out what the market is going to do for the rest of the year and then I’ll go ahead and answer that question for you.
Will Gabrielski – Gleacher: All right. Well, I’m sure if won’t be the right answer. Thank you.
Brandon Bethards: I maybe.
Will Gabrielski – Gleacher: Talk to you later.
Operator: Your next question comes from the line of Steven Fisher with UBS. Please proceed.
Steven Fisher – UBS: Good morning.
Brandon Bethards: Good morning, Steve.
Michael Taff: Good morning.
Steven Fisher – UBS: Assuming we get a loan guarantee over the next few weeks. Can you just discuss how the USEC opportunity might ramp up over the next year, I’m just kind of wondering what activities are going to happen and when I think you’re doing project management, but if there is specific task you can give that will be helpful on how are the revenues ramp up?
Michael Taff: Sure, Steve. Actually, it will be a two-step process. The phase that we are at now is the conditional loan guarantee and following the conditional loan guarantee there will be a period of time where you’ll actually get the final guarantee and the project will actually proceed to ramp up at that point in time. It’s difficult to say what’s the timing will be from conditional to final. We’ve often looked at it internally and I think USEC looks at it as something in the three to six month period. But what we are doing right now is the American Centrifuge project is being maintained at a spin rate from USEC to continue to supply machines and to the – into the lead cascades. They are also pursuing an R&D sharing development program with DOE that they used to feed that along from spending from their own cash flows. We would expect that to continue most likely through the period leading up to the conditional loan guarantee and probably through that into the final loan guarantee. That didn’t answer your question, but I would say the earliest ramp up that we would expect to see start would be in the first quarter of ‘12. It could slide into the second-half of ‘12 depending on the amount of time it takes to get the conditional in the final. Yes, Mike, you want to add to that?
Michael Taff: Yes and then Steve what we were always kind of saidSaid to investment community is that if you look back at kind of the run rate we had at kind of the height of that business when we were working with them on the lead cascade, I think we were generating somewhere around $20 million of revenue a quarter, $80 million or so on an annual basis. That could easily double once we are in the full ramp up phase. It will be – there will be obviously a long ramp up process as they get final long guarantee and are able to fund – manufacture the centrifuges in the plants there, and then we will start ramping up with hiring employees and all that, but I agree with Brandon, I think it’s more of a second half of ‘12 versus first half, but once we have started the process, it will be a pretty rapid expansion to get up to that near $200 million of annual revenue.
Steven Fisher – UBS: Okay, great. That’s helpful. And then just give us what your latest thoughts are on the timing of recovery in power maintenance spending?
Michael Taff: With regard to the capital and non-capital maintenance spending, just watching the order flow on major pressure part work has been trending up. We have had – this is I think third consecutive quarter of above average replacement parts booking. So it is that undeniable market that comes from the delayed maintenance aspect. We feel that that’s pretty well on track to what we would expect to at this point of time.
Steven Fisher – UBS: Okay. It sounds I guess a pretty study ramp from here or not, any big jump up over the next few quarters.
Michael Taff: That’s correct. It builds slowly and it usually stays there for four to six quarters and then comes back into the more normal spend write for that type of activity.
Steven Fisher – UBS: Okay, great, thank you.
Michael Taff: Thank you.
Operator: Your next question comes from the line of Bryce Humphrey of BB&T Capital. Please proceed.
Bryce Humphrey – BB&T Capital: Hi, good morning, everyone. This is Bryce Hump for Rob.
Michael Taff: Good morning, Bryce.
Brandon Bethards: Good morning, Bryce.
Bryce Humphrey – BB&T Capital: To drill down further on power gen margin, could you quantify at what level you’re booking these new environmental equipment contracts and then maybe to what extent you also see operating leverage in that business as your volumes are back up?
Michael Taff: Let me start with the last part of that first. The way we have our operations organized relative to that particular market segment is through what I call campus design approach, it’s primarily located in Barberton, Ohio and we have the ability to move our engineering project management procurement resources around readily in response to the leveraging opportunity. We demonstrated that in the last cycle that we were able to leverage the business considerably without taking on significant amount of additional overhead and expense. It’s also a good area to subcontract technical services and it’s kind suppliers for that type of talent into our facility. So we purposely developed that business model around the concept, that being able to lever up and then quickly array up down as these cycles haven’t flow. With regard to the margins on the bookings, I don’t think that would be appropriate matter of fact, a lot of our conditions around our contracts have confided geology clauses in them…
Bryce Humphrey – BB&T Capital: Sure.
Michael Taff: But I could say in general that the core equipment typically carries, because it’s a process and performance oriented systems, carries higher margin than BOP work. That’s why we tend not to focus on the balance of plant work which is your normal civil, piping, and electrical work. And then the construction component usually carries a lower margin than the process equipment. But that’s sort of order of magnitude.
Brandon Bethards: The other thing I would say, Bryce, as you ask about the leverage capability there and really – the way I’ve also thought about that business is, once we start getting near that $2 billion annual run rate in that business, that’s where we will really start to see the leverage. So, $1.9 – $ 2 billion and above, you start to see some incremental margin growth there.
Bryce Humphrey – BB&T Capital: Great. That’s very helpful guys. Thanks a bunch.
Operator: Your next question comes from the line of Scott Levine with JP Morgan, please proceed.
Scott Levine – JP Morgan: Good morning.
Michael Taff: Good morning Scott.
Mary Salomone: Good morning Scott.
Scott Levine – JP Morgan: I was trying to get at the underlying profitability of the nuclear energy business. How should we think about that and also I was wondering if I had heard, did you guys increase your projected spend for mPower for this year and if true, if you can give some preliminary thoughts on 2012 there as well, it would be helpful.
Michael Taff: Okay, with regard to the profitability of the nuclear energy segment, the best way to think of that is to think of the business that’s there within that segment. We have the equipment which is a replacement steam generators, reactor vessel heads, that has been a historic business for NAE that has a long proven track record and the margins in that business are good and the projects are large in dollar volume and expand a number of number years in the execution. The other part of that businesses when I call the nuclear services business and that’s the outage inspection services the hi-tech, high value added data collection, data analysis and consulting part of the business that Mary Pat talked about earlier. That too because of the unique nature of it carries a good margin, but it’s smaller contracts is usually falls in the category of what we call book and bill type of business and occurs during outage period. And then there is a projects business, which has been a historic for us in Canada. It tends to carry lower margins because most of the if not all of the field labor component is usually on the time and material basis and consequently it carries lower risk, lower margins. That’s the business that is opened up for us in the U.S., we think there is significant growth in that area. But it too going forward, we’ll be carrying a lower risk, lower margin type profile because the field labor will be mostly a time and material side basis. Overall, Mike I don’t know if you want to comment on the margins, the margin range for that business. It is mark right now because of the fact that we have this period expenses associated with mPower, we talked about ramping that up to the 28 to 25 million over the third and fourth quarter and we would expect the run rate on that to be about the same for 2012 at that level.
Mary Salomone: And Scott I would say we were taking that up actually it is consistent what I’ve said all year, as it specifically rise mPower spend I think what we’ve said turning back to the beginning of this year was that we thought it will be about double last year. Last year we spent about $40 million, this year I think we still be in that $75 million to $80 million range for mPower and that gets us on a consolidated level, consolidated spend when include the traditional R&D spend we do in PGG up to that $90 million to $100 million range. So, that’s really what I was saying on the call earlier. As it relates to margin I think that’s a good margin business and certainly would be in that kind of advertise range what we historically had in PGG and that 7% to 10% range should not be unreasonable.
Scott Levine – JP Morgan: Got it. Thank you and one follow-up real quick. Any change observed, we heard from some E&Ps here and there doing on a season of that changes and the government in terms of contractual terms could you talk about whether you have seen any change or is there any change in behavior or preference on the part of the government in either of your government segments with regard to either a movement from the fixed price versus cost plus or any other change in contracting behavior on their part?
Mary Salomone: I think the simple way to answer that is that the jobs that we talked about earlier that we just booked over the last quarter – in the last four quarters are basically been to the historical terms and conditions and fee earning potential that we have seen. Not to say that the things can’t change in the future, but there is no, no meaningful change that we see right now.
Scott Levine – JP Morgan: Okay, similar margin, similar risk profile, got it. Thank you.
Operator: Your next question comes from the line of Chase Jacobson with William Blair. Please proceed.
Chase Jacobson – William Blair: Yeah. Good morning.
Mary Salomone: Good morning Chase.
Brandon Bethards: Good morning Chase.
Chase Jacobson – William Blair: One more question here on the environmental equipment you commented about your bidding discipline and the fact that margins are likely to stay strong in that business. Can you just comment on whether or not you think three year conservations with customers that you will be able to sustain your sort of 25% to 30% market share? And then if you could just remind us once these projects are awarded, how long do they take ramp, how long they take to complete and are most of them on cost reimbursable or fixed price basis?
Brandon Bethards: Okay. That’s an interesting question with an S in parenthesis there. The – first of all with regard to bidding discipline, let me say it’s also not only just bidding disappoint but strategy. We have come through the period of fairly lean times from an E&C perspective. You have to disciplined to resist that temptation to take early projects just for the sake of building backlog with low margin. We followed that strategy in the last cycle and it worked very well. So, it’s a combination of basically being able to stay calm and stay disciplined as you progress through that business cycle. With regard to the margin and the markets, our goal and our underlying business plan basically has us targeting that same 25% to 30% target range that you have talked about. The time to ramp on these projects, if you look at the ones that are going that are going to early with regard to the 2014 deadline, the states that enforces these environmental primary regulations often have the ability to provide a one-year extension of that components, and I think that will be applied most across the board because of the shortly lead time on this. But these projects typically run from award to final acceptance or mechanical completion if you want to, they’ll range anywhere from 18 months to 36 months. Some of the bigger more complex jobs that we did in the last cycle can actually run out for 60 months. But they ramp like a traditional EPC project. First, you have the engineering, then you have the procurement of raw materials, then you have the fabrication. So, you’ll have like six months – three to six months it is – is low volume, low, at the top line because you’re just doing engineering and then it starts to ramp pretty substantially over the following 12 to 24 months.
Chase Jacobson – William Blair: Okay and then most of those are done on a reimbursable basis, is that correct?
Brandon Bethards: They are usually done in some type of a hybrid type fashion, the early projects are more likely to go a lot more on a firm price basis because that’s the nature of the market in the first stage, that’s why some people prefer to go – some customers prefer to go early. But, a more logical way to do that, it provides value to the end customer and to the contractors to supply that is a hybrid-based approach where you take the engineering and your controllable cost on a firm price basis. You get the scope and the performance exactly way that customer wants it, you engineer that into it. Then you generate the estimates and mark it down and then take the execution risk after that point. That’s a business model that really balances the risk and provides the best outcome, whether the market continues with that process as it did in the last time remains to be same, but it’s certainly the best value proposition for all parties considered.
Chase Jacobson – William Blair: Okay, and then if I could just ask one question on them M&O side of your business, haven’t really talked a lot about that. I’m not saying it will be, but obviously there is a lot of concern regarding the government budget cuts is any of those sites that you do – that you provided M&O services for were to lose funding and were to be shutdown? Can you just comment on what the process is to shut those them and kind of what the addressable market is for B&W? If there did have to be a decommissioning or shutdown services at any of those sites?
Brandon Bethards: The nature of the jobs of the sites that we are operating and are inside the DOE space and the NNSA are nuclear high consequence operations. So, there are two components those that are operating and are vital and key to the Department of Defense and our Armed Services. Some of our other projects that are basically in the D&D phase like the Portsmouth some of the old NR sites and the Idaho Mixed Waste facility we talked about, they are in a state of shutdown but those are years in the making, they are nuclear in nature they contain nuclear materials. So, it’s not really feasible to just not fund them, the bigger question is did they receive funding at the current levels or not. And that is really an opportunity for the government here because providing value that’s how we are earn our bread and butter everyday in that market is by providing value in doing more with less. So that’s more of the nature than a complete shutdown.
Chase Jacobson – William Blair: Okay. That’s helpful. Thank you.
Operator: Your next question comes from the line of John Rogers with D. A. Davidson. Please proceed.
John Rogers – D. A. Davidson: Hi. Good morning. Just one follow up question. In terms of your power generation backlog as it stands now, can you break it out between replacement components of missions work and new capacity or roughly some color on that?
Brandon Bethards: Yeah, John, I mean generally the kind of the way I think about it on the power side is it’s about 30 plus percent or so power – 30 plus percent what I would call parts and service, I guess 35 – about 20% environmental, 20% of what I would call boiler type work and then 15 or so waste energy, biomass.
John Rogers – D. A. Davidson: Okay, and – and you’re saying that’s where it’s normally or that’s where it is now?
Brandon Bethards: Well, that’s where it’s now.
John Rogers – D. A. Davidson: Okay.
Brandon Bethards: Well, that means, historically, kind of way I have always thought about is it’s kind of about a third environmental, about a third parts and service. Historically back when we’re doing more OEM, it was in the 15% to 20% OEM. Today, it’s less than 10% OEM.
John Rogers – D. A. Davidson: Right.
Brandon Bethards: Because –haven’t had any new books in OEM side. And then you throw in kind of other, which is the biomass waste energies.
John Rogers – D. A. Davidson: Okay. And as we look out over – I don’t know the next 12 to 18 month, could that environmental piece end up as – I don’t know, 50 to 70% of that business or the backlog?
Brandon Bethards: It certainly is intended to increase in proportions what the split is that Mike just read to you. But whether it’s going to be somewhere in that 40% to 60% range. Once you stabilize at that and it will be – it’ll be a fluctuating ratio depending on where you are in the booking and the execution cycle. The other thing that I’d add to what Mike said, in the last cycle where we had about 15% approximately, a new boiler business if you would, during that same period we basically had no biomass and no waste to energy. So that is sort of – we sort of see that as a gap filler for that part of the business going forward because we do not forecast any new coal projects in the United States for the foreseeable future.
John Rogers – D. A. Davidson: Great, thank you. Appreciate that help.
Operator: Your next question comes from the line of Martin Malloy with Johnson Rice. Please proceed.
Martin Malloy – Johnson Rice: Hello, good morning.
Brandon Bethards: Good morning.
Michael Dickerson: Good morning Marty.
Martin Malloy – Johnson Rice: In terms of the Department of Energy’s Small Modular Reactor program, if mPower was selected, could you talk a little bit about the mechanics for how you’d be reimbursed for the R&D expenditures, would it be what happened within the quarter, would there be some sort of timing lag?
Brandon Bethards: There is two components to that and Marty in and it would certainly be a time lag. It would be over time – we’re looking at that situation right now, it’s a classic of DoE crusher type program. So, we will have to prepare a proposal that will be on RFQ, you’ll bid into it, they’ll select the two suppliers that they want to work with on that and it’s broken out into the two components that I mentioned earlier on the call I mentioned earlier on the call, and those occur over time as those activities are actually executed if you will. So, it won’t be a lump sum – it won’t be like a grant, it comes with a program run.
Martin Malloy – Johnson Rice: Okay.
Brandon Bethards: Does that make the sense, did I answer your question.
Martin Malloy – Johnson Rice: Yes. And then the bidding opportunity that you talked about, the $1.6 billion bids outstanding for push into equipment projects and one billion expected to be bid through the end of this year. Could be – what would those numbers have been say six months ago at the end of 2010?
Brandon Bethards: Six months ago, the bids outstanding were almost nil for the Qatar replacement. There were other – there is always a certain amount of environmental business that’s out there that’s in the background for regional and special compliance reasons ions other than the EPA role. But with regard to the new regs, six months ago there was not a lot. We’re looking for it now to see if we can find it.
Michael Dickerson: Well, I mean six months ago the bid outstanding were just shy of $3 billion, but they were more related to some large international projects and things like that versus today our true bids outstanding today are about $3.2 billion or so, and those have less OEM projects and more of these environmental type projects we are talking about?
Martin Malloy – Johnson Rice: Okay. Thank you.
Operator: Our next question is a follow up and it comes from the line of Andy Kaplowitz with Barclays Capital. Please proceed.
Andy Kaplowitz – Barclays Capital: Lot of questions today so I will just keep the quick a couple of clean outs. Mike, on technical services, Portsmouth is ramping up, you kind of mentioned in your prepared remarks. That we keeping ramping up from here you know as it going to 3Q and 4Q from the 2Q number Portsmouth?
Michael Taff: So what….
Andy Kaplowitz – Barclays Capital: Portsmouth.
Michael Taff: Portsmouth. Yeah, I mean it does and as you know Andy we really took over control of that side April 1st. So as things continue to ramp up, there will be a slight ramp up quarter-by-quarter and I think we kind of hit our peak at Portsmouth as we recall either Q2 or Q3 of 2012.
Andy Kaplowitz – Barclays Capital: Okay, that’s helpful. And then the seasonality of your power generation business, 3Q is usually a little lighter than 2Q, was that fair?
Michael Taff: Not necessarily, I mean I think what we’ve seen in the past is Q1 is clearly as usually our prior month, kind of the slower month – slower quarters are typically Q2 and Q3, the first half of the Q4.
Chase Jacobson – William Blair: Okay. And then Mike just tax rate. Tax rate was a little lower in 2Q, what should we be using over the next six months.
Michael Taff: I think we’re saying that 34%, 35% range I think that’s pretty good.
Andy Kaplowitz – Barclays Capital: Okay. Thank you.
Michael Taff: All right. Operator, we’ll take one more call if there is anybody out there.
Operator: There is no further questions and I would like to turn the call back over to Mr. Michael Dickerson.
Michael Dickerson: Perfect. Thank you, Kim and thank you everyone for joining us this morning. That concludes our conference call. A replay of the call will be available for limited time on our website later today, also on our website there is a company overview with some additional information that will be sharing with investors and analysts during various meetings throughout the quarter. If anybody has any follow-up questions, please feel free to catch me up at my desk today. Thanks everybody.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.